Operator: Good morning, and welcome to the ICE First Quarter 2021 Earnings Conference Call and Webcast.  Please note, this event is being recorded. I would now like to turn the conference over to Mary Caroline O'Neal, Director of Investor Relations. Please go ahead.
Mary Caroline O'Neal: Good morning. ICE's first quarter 2021 earnings release and presentation can be found in the Investors section of the ice.com. These items will be archived and our call will be available for replay. Today's call may contain forward-looking statements. These statements, which we undertake no obligation to update, represent our current judgment and are subject to risks, assumptions and uncertainties. For a description of the risks that could cause our results to differ materially from those described in forward-looking statements please refer to our 2020 Form 10-K, first quarter Form 10-Q and other filings with the SEC.
Scott Hill: Thanks, Mary Caroline. Congratulations on your new role, truly well deserved. Good morning, everyone, and thank you for joining us today. I'll begin on Slide 4 with some key highlights from our first quarter results. First quarter revenues, operating income, adjusted net income and adjusted earnings per share were all the best in the history of our company. Adjusted earnings per share of $1.34 increased 7% compared to our previous record of $1.25, which we achieved in last year's first quarter. Record total first quarter revenues of $1.8 billion were up 4% year-over-year on a pro forma basis. Total transaction revenues declined slightly versus an unprecedented backdrop a year ago. Importantly though, total recurring revenues, which represent about half our business, increased by 9% with all three of our business segments contributing to the strong year-over-year growth. First quarter adjusted operating expenses totaled $729 million, including $30 million related to Bakkt. Without the additional $7 million of Bakkt investments, we would have been toward the lower end of our original guidance. We expect that Bakkt's merger with Victory Park Spac will be completed toward the end of this quarter. We expect second quarter adjusted operating expenses to be in the range of $742 million to $752 million, including approximately $35 million of additional expense related to Bakkt. Incorporating the additional Bakkt expenses into our full year guidance as well as slightly higher-than-expected FX, which will be more than offset by higher revenues, we now expect full year adjusted expenses to be in the range of $2.88 billion to $2.93 billion.
Ben Jackson: Congratulations to you, Scott. Thank you, and good morning to everyone on the call. Please turn to Slide 8. As we begin to emerge from the COVID-19 pandemic and the highly volatile environment we experienced in 2020. Our customers continue to rely on our global energy markets to navigate uncertainty and manage risk. And importantly, it's our network expertise and investment in technology that enables us to deliver innovative customer solutions and capture the growth opportunities provided by secular trends, such as the growing complexity of energy markets alongside the energy transition. In our oil markets, Brent crude serves as the cornerstone of a global network that includes key benchmarks such as WTI, Gasoil, RBOB Gas and most recently, Murban crude oil. By leveraging our global network, the launch of ICE Futures Abu Dhabi, or IFAD, has enabled for the first time participants to come together and contribute to the price formation of Murban, an important benchmark for oil flowing through to Asia. In just its first month, Murban, along with related derivatives has traded over 150,000 contracts across 49 firms with growing open interest now over 45,000 lots making it one of the most successful futures launches in our industry's history.
Jeff Sprecher: Thank you, Ben, and thank you all for joining us this morning. Please turn now to Slide 9. In the first quarter, we once again grew revenues, grew adjusted operating income and grew adjusted earnings per share, delivering the best quarter in our company's history. And remarkably, we did this against last year's record-breaking volumes and volatility, which was largely driven by the onset of the global COVID-19 pandemic. Our results are a testament to the value of our data, technology and the strength of our strategic business model. The compounding growth of our subscription based services, combined with our diverse transaction-based businesses means that our growth is not tied to one economic cycle to one geography or to one asset class. Rather, it means growth on top of growth through all rate environments, across asset classes and around the world. Over the past 20 years, ICE has continually evolved to meet the needs of our customers and provide value for our stockholders. And for the past 14 years, I've had the privilege of working alongside Scott Hill as our growth story has unfolded. ICE has completed dozens of deals and made thousands of strategic decisions that have been rooted in the information and the quality metrics that were ingrained in our culture by Scott. Scott not only provided financial leadership for the company but he's played a vital role in providing strategic vision. He championed our unique culture, and he's mentored younger generations of leaders. And so I want to thank Scott for his contribution, for his dedication and for his leadership. And I want to wish him our best as he moves on to tackle the difficult life of branching in Texas. Scott will officially transition next month, and he'll remain an adviser and a mentor to ensure a smooth transition as Warren Gardner assumes the duties of CFO. Warren's has worked closely with Scott over the last 4 years and covered our sector as a senior research analyst for many years prior to this. Warren's knowledge of our business and our industry will help us to continue to build on the foundation that's been established by Scott, and continue a track record of growth. I also want to welcome MC as our new Investor Relations Head. Let me say thank you to our customers for their business and their trust in the quarter. And I want to thank my colleagues at ICE for their contribution to delivering the best quarter in our company's history. With that, I'll now turn the call back over to our moderator, Chad, to conduct the question-and-answer session, which will run until 9:30 Eastern time.
Operator: Thank you.  And the first question will come from Rich Repetto with Piper Sandler. Please go ahead. 
Rich Repetto: Good morning, Jeff and Scott, and Scott, all the praise and comments are well deserved, so congratulations. My first question will be on the Mortgage segment. And I guess it's been on spot but you reclassified the line and you sort of explained that. But I'm trying to understand how you outgrew what looked like Dodd industry originations and when we look at those four lines now that are reclassified, which ones are recurring and which ones are transactional, so we can model it out. And then lastly, which will be more dependent on refi or purchase mortgages?
Ben Jackson: Thanks, Rich. This is Ben. And thanks for observing what we've seen in the marketplace in terms of a downturn in transaction volumes as I can confirm, we saw a downturn in closed loans on our encompass platform. When you look at Q1 closed loan volume versus Q4. And as our results are testament to, we were able to grow through it. And what I'd point to is what we said when we originally announced the deal back in September, in that we see, just like we saw in the commodities markets 2 decades ago, just like we've seen in the fixed income markets that the mortgage space is an industry that's going through a significant analog to digital transition. And we knew by combining the closing network that we have with the unique customer originator and investor network that Ellie Mae has that we can do something really special here for our customers in providing a digital future and a lot of efficiencies. And that's how we got conviction that we can grow through long-term cycles. And that's how we put out a guide, a 10-year guide of roughly doubling revenue when you look at that 8% to 10% guide over a 10-year period. That's roughly doubling revenue. And what we've seen in the platform has done nothing but strengthen our conviction over the last 8 months in our ability to do that. Last quarter, I mentioned that Q3 and Q4 sales expectations well exceeded our model. That we put together last summer when we did the deal. And Q1 continued this trend. And what we get – tactically, what you get when you're increasing your penetration into new sales, you're getting new subscription revenue when you implement and then as you ramp the customers up, you're getting more loans that you're interacting with is you're never interacting with before. Those loans than interactive services are our network. So you have a flywheel effect, you have a compounding effect. But I think more importantly, this is what I was trying to get through in the script, is that when a customer is choosing our solution set, they're choosing to fundamentally change their business. They're fundamentally choosing to remove manual processing and adopt digital ways to automate. And when they select us, they're selecting us to be the heart and lungs there. To be their network that's interconnecting them to every player that we interact with from our front-to-back network. And as they realize those benefits from being part of our ecosystem, it enables us to cross-sell our other services that I also mentioned in the script, such as our AIQ offering, which is that automation of the underwrite, as well as eClose. So that's what gives us conviction on the ability to grow this business sequentially, quarter-over-quarter on subscription revenue growth and to grow through downturns or to outperform downturns in terms of volumes just as we did Q1 versus Q4.
Warren Gardiner: And – hey Rich, this is Warren. I'll just try to give you a little bit of color on the subscription versus transaction breakdown. Most of the subscription revenue is going to be in that origination technology line. And within that, it’s pretty balanced between subscription and transaction. The other part of subscription is going to be in data and analytics. And then when you think about transaction side of that, it’s going to be the closing – that’s pretty closing solutions, that’s pretty much 100% transaction and then others transaction as well. And so hopefully, that helps you a little bit in terms of color, but we haven’t broken those out quite yet, so...
Rich Repetto: Got it. It’s helpful. Thanks guys.
Operator: And the next question will come from Mike Carrier with Bank of America. Please go ahead.
Mike Carrier: Good morning and thanks for taking the question. Maybe just on the capital front, given the Coinbase gain you expected in 2Q. Just wanted to get an update on how you guys are prioritizing your debt pay-down if you expect to get your target leverage faster? And then any other investment areas for growth in the business?
Warren Gardiner: Yes. Mike, it’s Warren again. So yes, we are definitely a bit ahead of schedule, been paying down debt faster than we sort of expected when we started the deal. I mean I would say we were doing that, though, before the Coinbase sale. You look at the quarter, we generated about 300 and – $734 million of cash flow. We used that to pay down a little – or close to $350 million of debt, raised our dividend by 10%, and then also invest in the business. So, I think when you think about this Coinbase proceeds, that’s really – that gives us some additional flexibility as we kind of move into the rest of the year. And as Scott said, we are down to about 3.6 leverage, the target is about 3.25, where we can start to think about buying back stock, but again, as Scott said – but again, this is just giving us a little bit of flexibility, and we will give you guys kind of more of an update as we get a bit closer to that in terms of what we will do with buybacks.
Mike Carrier: Great. Thanks a lot.
Operator: The next question is from Ken Hill with Loop Capital. Please go ahead.
Ken Hill: Hi, good morning everyone. So, I wanted to start with ICE Futures Abu Dhabi. I know you guys had a really strong start with the Murban crude contract. You talked about some of the records. Ben, I think in the prepared remarks, you talked about being one of the most successful launches there. I was hoping you could maybe outline a little bit on the broader ambitions in regions there, whether it’s Middle East or Asia, how you might be leveraging that success there and thinking about kind of like a land and expand type of opportunity in other ICE products, whether that’s on the trading side or on the data side? How should we be thinking about that in those regions there? Thanks.
Ben Jackson: Thanks for the question, Ken. It’s Ben. And when you look at our futures markets and how we have developed them versus any of our peers, we have been stayed very close to the commercial customer base since our inception. And that’s what’s enabled us to develop literally hundreds of oil contracts around the world because it helps our customers not only manage the risk in a benchmark contract, but also help them manage their risk at the point of consumption or the point of production of where they have real risk. And we are the only truly global platform that enables customers with deep liquid markets in hundreds of marketplaces to be able to manage that risk. And with the backdrop of COVID going on the past year, we didn’t stop moving. We continued to partner with our commercial customers around the world, and that’s what led to the launch of ICE Futures Abu Dhabi, just in the last few weeks here. And in the early days, it looks like one of it to be – one of the most successful futures launches in history. And what I would point to with that is not only the volume growth, but also the – importantly, the significant open interest growth and the fact that there is 49 major players that are in there utilizing the contracts, establishing positions to manage risk. And I look at that compared to other parts of our oil business, that across the board are doing very well. If you compare our overall oil open interest right now in April versus the fourth quarter, we are up in almost every major product category. You compare April oil open interest versus April 2019, we are up in almost every category. If you look at under the covers from a year-over-year basis, while there is some tough compares, in there. We have significant product sets, such as our Asia Refined products set, gas oil in Dubai that are up year-over-year. So, we believe we have a great foundation. We have already been in Asia, have a number of significant products out there that enabled customers to hedge and manage risk. And we are going to stay very close to our commercial customer base to look for more opportunities to do so.
Jeff Sprecher: And this is Jeff. I think we – to get a little more embellishment, we have launched, I believe, now a dozen derivative contracts on that exchange. So we are moving quickly, if you will, to build out a broader product suite there. And one of the things that Ben alluded to and it was inferred in your question is that there is a large Asia presence of commercial users that operate in and around comfortably in the Middle East. So it gives us an interesting launch point, if you will, for additional derivative contracts. So, I think you will see us continue to build out this amazing suite that we have, including Abu Dhabi as a vehicle.
Ken Hill: Got it. Thanks for the additional color there.
Operator: And the next question will come from Alex Blostein with Goldman Sachs. Please go ahead.
Alex Blostein: Great. Thanks. Good morning everybody and to echo everyone’s comments, Scott, Warren, MC, big congrats to all of you. I wanted to go back to the mortgage business for a second. So clearly, organic growth remains really strong. Ben, great to hear that the sales momentum continues to be above projections in the first quarter. But the market clearly seems to be overly concerned about the refi cliff, so to speak, in the market, which would hit your transaction revenue. So, can you help us maybe unpack how much of the $230 million is related to transaction revenues, is refi versus new purchases? I think legacy LMA was about 50-50, but that mix probably has evolved here. And I guess, how would you frame the downside risk to this revenue bucket, assuming current industry refinance expectations come through? And then secondly, I was hoping maybe we could hit on the expense interplay here as well to an extent that transaction revenues come down. Is there any expense offset we could see in that segment? Thanks.
Ben Jackson: Thanks Alex. This is Ben. I will start, and then I will hand it to Warren on the expense side. So, when you look at the – you had a number of different questions in there, so I will try to unpack a couple of different things that we are seeing. So first, the answer that I had for Rich’s question is important to go back to. So, we are not looking at this as a quarter-over-quarter business and really worry or afraid about volumes that are changing each quarter because we see that there is just a long-term change that’s happening towards digitization. We see substantial TAMs that are out there that when you look at our presence in each of those TAMs have not only a long runway, but we have a lot of opportunity for growth in each of them. The core being that Encompass and the network set that we have, where we have a little over 20% if you look at the trailing 12 months, roughly 20% of that TAM is a starting place that we have. And as we continue to sign new customers, as we continue to onboard those customers on, we are interacting with new loans, we are getting to more subscription revenue, we are getting more transaction volume, and those loans are interacting with more services on our network. We believe we are very well positioned to go after that. The other thing I can’t emphasize enough is the other two TAMs are really a cross-sell opportunity. We are already touching at some point in our network from our customer acquisition and the point-of-sale systems that we have to the loan origination network that we have that’s now interconnected to our closing network. We are touching just about every player in the mortgage ecosystem. So, our ability to sell these new services is a cross-sell. So, we feel very, very good about our position to grow in the closing – against the closing TAM, which we have roughly a 20% of that TAM today. But we are very uniquely positioned with the new eClose offering that we have launched to go after a significant amount more of that. And then on the AIQ, that’s the automation of the actual underwrite process itself. We are seeing – we continue to see record sales volumes of that product, which, again, is a cross-sell to core Encompass customers. When it comes to mix on our platform, because if you look at just the loan originations side, there is a little bit of a tilt towards nonbank originators and nonbank originators tend to have a slight tilt towards purchase market versus refi. A lot of people do their refis with banks that they – large banks that they have their established banking relationships with. We tend to benefit more from a market that’s moving more towards purchase. But that said, it’s on the edges there. And when you look at our entire network, we are working with just about every player in the industry is utilizing one of our services around one point of our network.
Warren Gardiner: And Alex, it’s Warren. Just quickly on the expenses. So, there are definitely some variable expenses in there. What you would probably normally think about comp, marketing spend, things of that nature. But as Ben said, this isn’t about second half or this isn’t about a particular quarter. This is about a 10-year plan or strategy of doubling revenues from where we are today. And so we are going to continue to invest in that business. We talked about $40 million to $45 million, I think, when we gave guidance at the start of the year. And I think that should still kind of incremental expense, I should say. And so that’s just still be kind of what you expect, I think, as you are looking into the second quarter, third quarter, fourth quarter and expect that to kind of ramp as things like investments like eClose and things of that nature, kind of continue to pick up some steam.
Operator: Thank you. And the next question will come from Brian Bedell with Deutsche Bank. Please go ahead.
Brian Bedell: Great. Thanks. Good morning folks. And also my congrats to Scott, Warren and MC as well. Just a two parter, again on Mortgage Tech. It’s the topic of today, of course. Just in terms of that – of the strength in origination, Ben, if you can just touch on the recurring revenue side, the impact of market share gains versus revenues – cross-sell revenue synergies into that network base? And then the second part is on the closing side. I think you said 20% of $1 billion TAM. It looks like the revenue run rate there is $280 million. So, just want to double check. So that would be 28%, but I am sure I am using different denominators there. So, I just wanted to check on that and then your optimism on the growth in the closed business versus the rest of the Mortgage Technology business?
Ben Jackson: Thanks Brian. I will hit that last part first. So on the roughly 20%, I am looking at the last 12 months, and it’s a rough gauge on that piece. The first part of the question, repeat the core of what you are looking for there?
Brian Bedell: The core of that is from the recurring revenue gains that you have mentioned in the Mortgage Tech segment, especially in origination technology. Maybe if you can characterize what’s coming from market share gains, from Encompass being better – getting better penetration of Encompass across the banks and financial network versus actual cross-sell into the network on – so it’s more like a synergy basis?
Ben Jackson: Yes. Sure. So – and that’s what I first answer that I gave to Rich, pleased with the new sales results that we have seen as well as cross-sell results that we have seen on the platform. And the way to think about that recurring revenue and what gives us confidence in the fact that, that recurring revenue will grow sequentially quarter-over-quarter, and we are guiding to growth next quarter is that we continue to see – and there is a mix in that recurring revenue line of customers that are expanding their footprint with us. And expanding their footprint with us can mean that they are adding new loan officers, they have more volume on their platform, so they go ahead and expand their footprint with us. And when they do that, that falls to the subscription line item very quickly. The second thing that you see is that we have cross-sells of other products to our customer base so they expand and buy other services that we have. It could be our AllRegs business, our Mavent business, very importantly, our AIQ services. So, we are seeing that as a very high cross-sell into our customer base. Some of those services require a short implementation timeframe, so after we sell it, there may be a lag before the subscription revenue comes. But that’s the other element. And then new customers, we are seeing new customer acquisition. As I mentioned last quarter, a record Q3 and Q4 in terms of gathering new customers. And then Q1 well exceeded our expectations, both in our original model as well as our budget in terms of signing new customers onto the platform. And when we sign those new customers onto the platform, they do need to be implemented. It’s a cloud-based platform, so the implementation isn’t that long, but there is some lag between when we sell it, and then that drops to the subscription line. And then once the customers implement it, they start to ramp, and that’s when we start to see the loan transaction volume and then those loans interacting with our network, then build and then we see more transaction volume building on that.
Brian Bedell: Great. Thanks. That’s great color. Thank you.
Operator: And the next question will come from Ari Ghosh with Credit Suisse. Please go ahead.
Ari Ghosh: Hi, good morning everyone. Maybe just a quick follow-up, so Ben on Mortgage Tech. Maybe you just talked about customers expanding their subscription footprint with you, so as we think about that $4 billion data TAM that you highlighted, can you talk about the current data and analytics usage by a captive customer base, what’s the level of customer penetration at present? Are these customers utilized a competitor data products or just maybe not leveraging much of these analytics in their workflows at present? Just to get a sense of penetration levels and the ease of kind of acquiring some of these services and growing that footprint, subscription footprint? Thanks so much.
Ben Jackson: Thanks for that question, Ari. It’s Ben again. So, this is an area when you look at just the raw numbers versus the TAM. We are obviously very early stages here. So, we have 2% to 3% of the TAM, is what we have if you look at our current revenues versus a $4 billion opportunity here. And this we see as a near-term TAM that we are executing against. That’s why we had it in the script. That’s why we have highlighted in the last couple of calls that this AIQ offering is really seeing some good pickup across our customer base. We had record sales of it in the third quarter and fourth quarter. And this is another area where we have well exceeded our expectations into Q1 of really cross-selling this service into our Encompass customer base. And what this enables is it’s really the core of where you are able to take out a ton of the manual processing. We have mentioned that our estimates are that it costs $8,000 to manufacture a loan today. And out of that, about $5,200 of that is just manual processing. And by first applying our automated document recognition and extraction technology, but then also putting our mortgage expertise on top of that to say, okay, as we extract this data out of the documents, as we automate it, we are able to take that information, put it into a database and compare it to what the income qualification and credit qualifications are for a particular product set because we have that whole – in our AllRegs business, we have the entire reference data set of, depending on the product, the customer is applying for, we know exactly what the qualification criteria are of that. So, we are able to take a lot of the manual steering compare work of comparing information that came in on our original customer application versus what’s coming in as we are getting documents that we can verify and also cross-reference against what the criteria are to apply for that particular product. So, we feel great about it. It’s early, but we are seeing this really as customers are starting to adopt it, they are getting the benefit of it. We are seeing other customers are catching from word-of-mouth in the industry that this is providing real benefits from their peers, and we are seeing our funnel just continue to strengthen in this area. And again, for the most part, it’s a cross-sell into our existing base.
Ari Ghosh: Got it. Thanks so much and again congratulation Scott, Warren and MC as well.
Operator: Thank you. And the next question will be from Chris Harris with Wells Fargo. Please go ahead.
Chris Harris: Thanks guys. On ICE Abu Dhabi, can you talk a little bit about how Murban might be distinctive or why you think it will win for some of the other benchmark alternatives that are out there targeting Asia?
Scott Hill: Yes, it’s a good question. One of the sort of historical roots of the commodity exchange business has been that commodity tend to be priced at their near the source. In other words, it was grain price at grain elevators that were located near the fields. And in the case of energy, it’s oil, natural gas or electricity price somewhere locationally near where it’s produced. And then from a hedging standpoint, as a hedger would buy a contract on an exchange they would then need to add to that hedge a transportation or movement hedge on top of the commodity hedge. And so we – and as we got into organizing these commodities on futures exchanges that have clearing houses, the clearers price the risk, the credit risk of their customers. And so the commodity price that is determined on the exchange, if you will, doesn’t have the customer credit risk in it, and it doesn’t have the delivery risk in it. So in a sense, it’s a pure commodity near where it’s produced. And so one of the tensions that’s going on in the market, particularly with the growth of Asia, China and more broadly, all of Asia is exchanges that we are forming up and pricing their product at the point of delivery. And so that’s a different paradigm, if you will, for traditional commodities. And so one of the reasons that the State Oil Company of Abu Dhabi, began to work with us was the recognition of the fact that they had a strong desire to continue to control pricing of the commodity or have the – actually the market control pricing of the commodity at its point of production. And that the risk of delivery not being transferred back to the producer by having a delivery price contract. And so that was really the motivation, along with the continued growth of the Middle East and modernization of the infrastructure in the Middle East. And so it’s a really good location, if you will, because of the energy footprint there and also just the growing economies of the Middle East and the interplay between the Middle East and Asia just seem like a very good place for us to have a geographic reference. And it’s not surprising. We have done a lot of work underneath this launch, as you can imagine. And really, because of our global footprint, we are able to talk to commercial users around the world. But it’s not fully surprising to us that this is working because of that historical dynamic was actually playing in our favor.
Operator: Thank you. Ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to Jeff Sprecher for any closing remarks.
Jeff Sprecher: Thank you, Chad. I want to again thank Scott Hill for his amazing contributions to the company and for all the success. And I want to thank everyone here for joining us this morning. We look forward to updating you as we continue to execute and innovate. And with that we will close the call and have a great day.
Operator: Thank you, sir. The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.